Operator: Good morning, ladies and gentlemen. Welcome to the Trican Well Service Third Quarter 2025 Earnings Conference Call and Webcast. As a reminder, this conference call is being recorded. I would now like to turn the meeting over to Brad Fedora, President and CEO of Trican Well Service Limited. Please go ahead, Mr. Fedora.
Bradley P. Fedora: Thanks, everyone, for joining us. As usual, first, Scott, our CFO, will give an overview of the quarterly results, and then I'll provide some comments with respect to the quarter, the current operating conditions and our outlook for the rest of this year and early next year. And then we'll open the call for questions. Various members of the executive team are here in the room today and available to answer any questions that may come up. So I'll now turn this back to Scott.
Scott Matson: Thanks, Brad. So before we begin, I'd like to remind everyone that this conference call may contain forward-looking statements and other information based on current expectations or results for the company. Certain material factors or assumptions that were applied in drawing conclusions or making projections are reflected in the forward-looking information section of our MD&A for Q3 of 2025. A number of business risks and uncertainties could cause actual results to differ materially from these forward-looking statements and our financial outlook. Please refer to our 2024 annual information form for the year ended December 31, 2024, for a more complete discussion of business risks and uncertainties facing Trican. This document is available both on our website and on SEDAR. During this call, we will refer to several common industry terms and use certain non-GAAP measures, which are more fully described in our Q4 2024 MD&A. Our quarterly results were released after close of market last night and are available both on SEDAR and our website. So with that, a brief summary of our quarterly results. I'll draw some comparisons to the third quarter of last year, and provide a bit of commentary about our activity levels and our expectations going forward. Trican's results for the quarter compared to last year's Q3 were generally stronger as overall operating activity came in a bit higher in spite of continued pressure on commodity pricing. Oil pricing, in particular, was hit hard as we moved through September, which led several customers to either delay or shelf projects in oilier plays. Combined with some timing shifts on natural gas-related activities, this took a bit of the wind out of our sails on what was shaping up to be a very strong quarter. Brad will comment a little bit about our outlook on Q4 later. Our revenues for the quarter at $300.6 million compared to the $221.6 million we generated in Q3 of 2024. Adjusted EBITDA for the quarter was $59.5 million or 20% of revenue compared to adjusted EBITDA of $50.2 million or 23% of revenues generated last year. Just a reminder that our results include the contributions from Iron Horse from the date of acquisition through September 30. I would also note that our results include $2.5 million of transaction costs related to the acquisition that were expensed in the quarter. Adjusted EBITDAS for the quarter came in at $66.9 million or 22% of revenue, up from the $53.1 million or 24% of revenues we generated in Q3 of last year. To arrive at EBITDAS, we add back the effects of cash settled share-based compensation recognized in the quarter to more clearly show the results of our operations and remove some of the mark-to-market impact of movements in our share prices between the reporting dates. And you'll note that this number was larger this quarter at $7.4 million compared to an average of about $2.3 million over the last 4 quarters, again, due to the movement in our share prices versus June 30. And this is a very good example of why we always focus on EBITDAS when we have conversations versus EBITDA as those numbers can vary pretty significantly period-to-period. On a consolidated basis, we generated positive earnings of $28.9 million in the quarter, that's about $0.15 per share, both on a basic and a fully diluted basis. Trican generated free cash flows of $35.4 million during the quarter. Again, our definition of free cash flow is essentially EBITDAS less nondiscretionary cash expenditures, maintenance capital, interest, current taxes and the cash settled stock-based comp piece that I talked about earlier. You can see more details on this in the non-GAAP measures section of our MD&A. And again, I would note this figure is impacted both by the transaction costs that I talked about and stock-based comp I quoted earlier. CapEx for the quarter totaled $18.9 million, again, a split between maintenance capital of about $13.5 million and upgrade capital of $5.4 million. Again, that upgrade capital was dedicated mainly to the electrification of our fourth set of ancillary frac support equipment and ongoing investments to maintain the productive capability of our active equipment. From a balance sheet perspective, we exited the quarter with positive noncash working capital of about $209 million. As of September 30, we had net debt of $130.6 million, comprised of loans and borrowings of $139.1 million, offset by cash of $8.5 million. Our debt at September 30 was primarily related to the acquisition of Iron Horse and some normal working capital investing activities during the quarter. And a couple of points to note that September 30 debt number translates into just over half a turn of leverage using our trailing 12-month EBITDAS figure, which does not make us uncomfortable given our outlook for the rest of this year and into early 2026. And also a portion of this is already unwound, and we would expect our debt position to trend down as we move through the end of this year and certainly into next year. With respect to return of capital, we repurchased and canceled about 100,000 shares during the quarter and closed out our 2024-2025 NCIB program. We completed that program on October 4. And under the program in total, we repurchased 13.2 million common shares at a weighted average price of about $4.27 per share. On September 30, we announced the renewal of our NCIB program, which will allow us to purchase up to 18.4 million common shares, representing 10% of our public float as at the time of renewal. This program is scheduled to run from October 5, 2025, through October 4, 2026. And finally, as noted in our press release, the Board of Directors approved a dividend of $0.055 per share, reflecting approximately $11.7 million in aggregate payments to shareholders. The distribution is scheduled to be made on December 31, 2025, to shareholders of record as of the close of business on December 12, 2025. And I would note that the dividends are designated as eligible dividends for Canadian income tax purposes. So with that, I'll turn things back to Brad.
Bradley P. Fedora: Okay. Thank you. And I'll just remind everybody that my comments will include Q3 2025 and forward-looking observations for Q4 and 2026. So please refer back to Scott's disclaimer. Overall, the quarter, it went well. We obviously -- we had a great September -- July and August and then we had a bad September. It's actually one of the worst months of the year for us. But all -- that's just a reflection of work got pushed out of the month into the next month. And that's our business. We don't focus too heavily on the exact timing of the work. I know we live in a quarterly world, but from a business perspective, that doesn't get us too fast. It just got moved. The work didn't go away. So it's not -- it wasn't a concern of ours at all. And as I'll talk later, it's going to boost our Q4. We're very fortunate to have our customer list. They continue to level out throughout the year. We don't expect that this year is going to be any different. I know there's a lot of talk about budget exhaustion into Q4. We typically don't experience that, and I don't think we're going to experience that this year either. There is a little bit of pricing pressure going on just as some of our competitors don't have busy Q4s. There's a lot of jostling to fill the board, and that always reflects pricing down. And of course, the rig count is down slightly from last year. Again, those I think, are temporary situations. We still expect to have a good 2025 and certainly a good Q4. We remain gas focused, I'd say, corporately, overall, where about 75% of our work is based on natural gas plays. I know a lot of those plays are liquids-rich, but we're very excited about what we think is going to be a great year in 2026 for gas prices. So it's one of the reasons why we continue to be so optimistic in the context of a lot of -- sort of mooning and complaining about current environment. A lot of the cost inflation has slowed very significantly. We're actually seeing cost reductions on some of our inputs. A lot of the tariffs that were proposed didn't happen or have been reversed. We've seen fuel surcharges come off. So that's helping sort of offset some of the pricing pressure we're getting, and we're still able to maintain pretty reasonable margins given a more negative price environment. We are experiencing lower Northeast BC work. I don't think that's any secret to anybody that follows the rig count, but it's getting made up for work in the Duvernay. And so -- which is very fracturing intensive. It's very similar to what's happening in Northeast BC. So all 4 divisions when we think about market share and the customer list that we have, we've got the 2 frac divisions, the cement division and the coil division. All 4 of them are running really well, and we're really happy with our business plan and how it's unfolding. One thing I did want to point out because just reading some of the analyst notes is we exited the quarter with about $135 million of debt, but we also had about $218 million of positive working capital. So it's a timing issue. I don't want anybody to focus on this debt number because it's already come down substantially since month end. And this debt at this level does not concern us at all. I mean we'll likely pay it down, but that will depend, frankly, on what's available to us from an investment perspective. But certainly, debt in the 100 range does not concern us one bit. In the frac division, in the Trican frac division, it's still going very well. We're viewed as a technical leader in the industry, electric equipment, efficient operations, our engineering, our lab group are working towards or we continue to evaluate 100% natural gas solutions. We're evaluating all of the solutions. And so I think we'll come up with the best one. We continue to add customers in the Montney and the Duvernay in the quarter if frac intensity continues to increase, making the logistics -- our logistics department, which is the largest in the industry, that much more valuable. We're focusing on technology improvements. We will be testing all of the available 100% natural gas pump technologies. And I think we'll choose the one that we think provides the best service at the lowest cost, and we continue to expand our last mile logistics. I would expect that we will add 100% natural gas fleet mid-2026. On the Iron Horse frac division, we're very happy with the acquisition that we made. We still view this as a combination of 2 best-in-class businesses. The transaction closed August 27. And so we only had 1 month of Iron Horse in our Q3. And it's -- as we talked about in our MD&A in our outlook section, obviously, Q4 for Iron Horse is lower than we had hoped or expected or even modeled when we purchased the company. But that's just oil price related. We think it's temporary. A lot of their oil projects were canceled or kicked down the road until next year. We don't buy businesses for 1 quarter performance. We buy it for the next sort of 10 years. So very happy with that business. They're still seeing sort of more pinpoint completion designs in all of their plays. The annual frac with fracking through coil or around coil, I should say, is still going to be the main completion technique. And even in the older plays that there are things like the Viking, stuff like they're still seeing sand volumes and stages increasing. And they have a very, very busy Q1. So that division is going well. On cement. Again, we're very happy with the performance of this division. They've always been viewed as a technical leader in the industry. We have the best equipment, the lab, the blends, the operators. We've actually added rigs to our portfolio despite an overall year-over-year rig count decline. They continue to leverage operating efficiencies and initiatives to reduce downtime, which has enabled them to increase margins in what would be an overall sort of slightly down market. We've developed blends to target the heavier oil basins. We're aligned with all the right E&Ps, all the busy E&Ps. Our market share in plays like the Duvernay is as high as 80%. In the Montney, it's over 50% in the overall basin, our market share has grown has grown year-over-year. So very, very excited about what's happening in that division. The coil division as well has really started to show its potential. Really pleased with how that has gone. I know we've talked about the coil division for the last several years about focusing on this and making sure that this division performed in line with the rest of our company. And I think that's finally starting to happen now. Q3 was one of the best quarters in the coil division or was one of the -- the coil division's best quarter. It had lots of operational excellence delivered with less than 1% nonproductive time, which is a real achievement to the people running that division. Our portfolio of customers consists of the top operators in the basin. We set horizontal and total depth records this year in Canada, and that sort of extended reach operations has allowed us to add customers in the Montney and the Duvernay. So we're very happy with what the next sort of 12 to 18 months looks like. And they started to generate financial margins in line with the other divisions. So very happy with how that's worked out. I'll just talk about the Q4 and touch very lightly on next year. We still believe our premium service offering in all of our divisions continues to be valued by customers, and I think that shows in our financial results. We're, of course, watching oil and natural gas prices. There's always potential for projects to get delayed or canceled or changed into next year. But we -- and we expect that our customers like us are taking a fairly defensive stance in their fall budget season just based on the volatility we've had on oil prices, especially. But we still think 2026 will be better than 2025. Our customers are still talking to us about equipment availability in the next few years. Well, that's a very good sign. The LNG Canada facility has continued to ramp up its export volumes. It's now exporting in the range of about 1 Bcf a day. Natural gas prices have recovered significantly in the last month. We expect them to get better this winter and into next year. The Duvernay, as we've talked about, continues to be a busy play, very, very fracturing intensive. We were very thoughtful about the long-term development of this play and actually designed a Tier 4 spread around the Duvernay that pumps at higher pressures, higher -- longer pump times. So our equipment is better able to withstand sort of the abuse that, that play gives the average pumper. So it's reduced our R&M costs even though the pumping rates and pressures are so high. And the Q4 to date has been great. We're still forecasting 2025 to be fairly level loaded between the quarters. And especially in a year like this where we've had so much work bumped out of September into October and November. We expect Q4 is going to be very good. Like when we -- when I read some of the analyst notes, I think this might be being a little underestimated about how busy we are in this quarter. It's likely to be better than Q3 and possibly could be one of our best quarters of the year. So we're not seeing a sharp decline in activity in Q4 like maybe some of our competitors have seen or had planned for. And nothing's changed from our focus. It's very much Montney, Duvernay. Obviously, the Iron Horse division focuses on the oiler plays. And as oil prices stabilize and start to gain a little momentum, those plays will get very, very busy very quickly. So just on -- I'll touch on a few other things, one being tariffs. I know we've talked a lot about tariffs in the past. And actually, as it's turned out, tariffs were put on sand and coil. Both of them have been removed. And actually, the tariffs that were paid -- and sorry, I'm talking about the retaliatory tariffs put on by the Canadian government. In both cases, any tariffs that were paid are -- they're telling us they're going to refund them, refund the money. So we're not really seeing retaliatory tariffs being a big issue in our life. A lot of the cement products are made locally. So that's not an issue. And we're not seeing any tariff pressure on things like chemicals yet. It will affect overall steel prices, of course, from the tariffs that were put on by both the Canadian and the U.S. governments, and that will affect the price of parts and pumps and things like that going forward. But it certainly isn't working out to be as big an issue as we had feared at one time. And there's various industry groups that have done a really good job of lobbying the Canadian government to make sure they're not sort of putting unfair retaliatory tariffs on our business in places like where we don't have a Canadian alternative. So sort of -- I would say we're very happy with how that's worked out. On the sand logistics side, we focus on this every call, and we're going to continue to focus on this because this is certainly becoming more and more of an issue every year. There's about 8.5 million tons of sand pumped in Canada this year. And some analysts are estimating that this could get as high as sort of 12 million to 15 million tons by 2030. And so when you think about all the sand that needs to move around the basin, whether it's on rail or on truck, this certainly has turned into a logistics challenge, which, of course, we see as an opportunity for profitability. And so we hope these predictions are correct, and we're making moves in our last mile logistics to make sure that we're positioned as having the premier provider of sand from the transload facility to the well site. And there's a lot that goes into it. You think about some of these locations, they're pumping sort of 50 to 100 railcars of sand over a period of 48 to 72 hours. And that means having a 40-ton B train truck show up every 10 minutes on location. So if you can schedule that correctly, you can run that efficiently. That's an efficiency that our customers certainly value, and we expect to provide to them in the future as the sand volumes grow. So we view this as a real area of focus and actually may be a focus of our M&A in the next few years as well. On the technology side, I would say things are sort of progressing as we had expected. We're reviewing the cornerstone of our technology strategy is 100% natural gas fueled operations in all of our divisions eventually. But right now, we're mostly focusing on frac. We're evaluating all of the technologies available to us from a 100% natural gas pump perspective, which will allow us to pick what we think is the best -- the most practical technology so that we can provide our customers with 100% natural gas solution. And like I had said earlier, I expect we'll be providing this by mid next year. So back to the long-term outlook, certainly, nothing's changed from our view. Even though you go through little bumps like we're going through now with commodity prices, it doesn't change the long-term outlook of the industry in Canada. We still think it's a great place to be. We're going to continue to invest in it. We view the Canadian -- the Western Canadian Sedimentary Basin is a very attractive place to develop and grow our business. The Montney is increasingly becoming recognized as the premier play in North America. LNG Canada is going well. We fully expect that, that will go from 1 Bcf to 2 Bcf eventually to 4 Bcf a day in the next few years. So -- and there's other facilities as well that are coming in behind it. So we think the LNG export off the West Coast of Canada is great for the business. All of the plays that will fill that capacity are extremely pressure pumping intensive. So we think it's a great place to grow our business. And on the -- what's our return on capital strategy. I think, again, nothing's changed there. We continue to generate what we think is industry-leading free cash flow, and we maintain a conservative balance sheet. I would say our views on debt has changed just given how stable this business has become compared to prior cycles. So we're not afraid to have a little bit of debt on the balance sheet. And we do subscribe to a diversified return of capital strategy, which is a combination of a sustainable and hopefully growing dividend with the combination of the NCIB. And since we put the NCIB in 2017, we're over 51% of the shares purchased, which is amazing to think about that in the context of the industry. And we flex the NCIB up and down in the context of other investment opportunities. And -- so we'll continue to do that. We'll very likely have a very low base level of NCIB, but we're not afraid to really hit the gas or maybe even pull back for a while depending on what else we're seeing and what's happening in the market. Again, we're not afraid to use our bank lines if we find attractive investment opportunities, just like we did with the Iron Horse deal. They wanted all shares. We wanted to pay them all cash. We sort of sought it off somewhere in the middle, but hopefully, we can use our bank lines in the future. We're -- and our corporate priorities remain unchanged, build a resilient, sustainable and differentiated company, invest in high-quality growth opportunities. Hopefully, they're organic, focus on the logistics side of the business, provide a consistent return of capital for our shareholders through the dividend and the NCIB. So I think, operator, I think we'll stop there, and we'll go to questions.
Operator: [Operator Instructions] And your first question today will come from Aaron MacNeil with TD Cowen.
Aaron MacNeil: Brad, you mentioned you expect '26 to be better than 2025. I know you also referenced this in your prepared remarks, but we started to see CapEx cuts this quarter, most notably with Whitecap. We're just kicking off earnings, so presumably more producers could follow. I guess I just -- I'm wondering at a high level, what your assumptions are for year-over-year changes in Montney and Duvernay activity and how you think pricing will evolve over the next year?
Bradley P. Fedora: Yes. Like I don't think we're going out on a limb. I mean we just had 24 months of the worst gas prices this basin has ever seen on an inflation-adjusted basis. Now we've got LNG line maintenance is done. We're talking about sort of a much more balanced or even a negatively balanced gas market in North America as more LNG comes online in the U.S. Our customers have very sophisticated marketing programs. They're not just sitting around relying on AECO or Station 2 gas. But now that sort of all of the pieces are in place, I just don't see how we don't have higher gas prices next year. And this is a gas basin, as everybody knows. So higher gas prices mean better economics. When our customers have sort of 3- to 9-month payback on wells, how do they not drill those. So -- and of course, everybody takes a defensive stance in their budgeting, just like we do. We take a very defensive stance at this point. But I think there's upside, and I think it will come next year. And that's from an activity perspective. Who knows what's going to happen in the pricing environment? I mean, we all know what I think about how undisciplined this space is and irrational this space is. But when we talk to our competitors, they're blunted for Q1. So are we -- I don't see how prices go anywhere but up from here. So -- and even if they don't, I mean, we'll figure out how to make a little bit more money with efficiencies. So I'm not expecting big year-over-year changes that we would see 15, 20 years ago. That's not what I'm saying. But sort of 3% to 5% increases in activity, we can work with that. And I just don't see how that doesn't happen given that we've come out of the worst 24 months imaginable from a gas price perspective. We're going into a much more constructive gas market, North American-wide. I think that will just reflect in more activity going forward.
Aaron MacNeil: Yes. And again, I wasn't trying to challenge your outlook. I was just more curious if you've had any specific conversations with customers that would indicate that activity was going up year-over-year, but...
Bradley P. Fedora: Yes, we do, Aaron, I'm sort of challenging myself on my assumptions because I seem to be the only one that seems to think like this right now, which is either a really good sign or a really bad sign. But yes, we do have conversations with customers that I would say are more bullish than maybe what gets put in print.
Aaron MacNeil: Got you. Okay. And then just as a follow-up, I wanted to sort of better understand the new natural gas-fired frac spread. It sounds like it's going ahead, but is there any scenario that you would maybe pump the brakes? And then what sort of contract structure and duration should we expect? And maybe as another follow-on, how should we think about capital spending next year, assuming that, that investment goes ahead?
Bradley P. Fedora: Yes. I would think our capital spending will be in line with the past. We're very careful not to overcapitalize the space. Even though we have, by far, the largest market share in Canada, we don't operate in a bubble. And so we're not just going to flood the market with equipment, even if it is from a technology perspective, the best. But we've been a leader in new technology development over the last -- or since COVID, say. And I don't expect that's going to change. We've had incredible success with our electric backside or all of the ancillary equipment. Our customers continue to demand our electric blenders, very well designed, great performance, great from an R&M perspective. And so the last piece of that puzzle was the evaluation of all of the available 100% natural gas pumps, and it's all of the manufacturers. It's natural gas -- conventional natural gas engines, turbines, it's electric. We took, I would say, maybe a frustratingly long time to evaluate everything. But I think we have a pretty good understanding of what's available in the pros and cons of the various technologies. So I think we're in a really good position to sort of pick a horse at this point. And we're always working on R&D projects in the background. We've got to -- I mean, one of the challenges with natural gas pump engines is they want to run at constant speeds, which, of course, is not great when you're trying to increase rates and pressures and stuff like that. So -- in conjunction with a partner, we've developed a variable speed transmission that we want to try. That would go really well with natural gas engines, and it would allow us to pump more efficiently and actually spin off energy into our electric backside. So there's little things like that, that we're always working on that we may not always be able to talk about. But we'll -- we want to provide our customers with 100% natural gas solution, but we want to make sure that it's a sustainable solution for us as well from a returns perspective. And I think all too often, people jump head first into the latest, greatest equipment design without sort of thinking thoughtfully about, hey, how do you provide your shareholders with a return at the same time as you're providing your customers with a valued service.
Aaron MacNeil: And so just not to needle you too much on this, but on the contract duration, do you think you can go?
Bradley P. Fedora: Sorry. Yes. We don't talk in too much detail about contracts with our customers, and we have various discussions with various customers, but you would expect that the -- we're very fortunate to have long-term customers that have been with us for years. They will, of course, get first dibs on any technological developments we make.
Operator: And your next question today will come from Keith MacKey with RBC Capital Markets.
Keith MacKey: Just like to start out with Q4, if we could. Can you maybe just work out some of the pieces here of how you think Q4 will unfold? Certainly, you did kind of high 50s for EBITDAS in Q4 of 2024. Relative to that, how do you see Q4 of this year playing out, recognizing that there's been some work moved from Q3 to Q4, but then also some of the Iron Horse oil-related work has gone away. So how do you see kind of all those pieces playing together? And obviously, there's always a holiday season that makes things less busy as well?
Bradley P. Fedora: Yes. we -- if anything can happen, like we didn't see September coming. Frankly, we had a whole bunch of stuff on the board. And then boom, you wake up one day and it's been moved. And that's our business. You have to be prepared to roll with the punches like that. So we were -- we actually didn't realize a month like September was going to turn out like it did until sort of mid-September. So I'm a little hesitant to talk in absolutes here. But if we don't beat last year's Q4, I mean, that would be very, very surprising. And I would think we would beat it by a fairly reasonable amount. And like I said in my prior comments, this could be one of the best quarter -- this could be the best quarter of the year for us. And so again, I think we've gotten a little too focused on what happened in September as an indication of what's happening in the business. That isn't the case for us. Things get moved around, water availability issues, budget issues. I mean, we're built to absorb those changes. And what we gave up in Q3, we think we're going to gain in Q4. So I'm not going to give you any more color than this, but we expect Q4 to be good.
Keith MacKey: Maybe you could just talk a little bit more about the sand logistics commentary. Certainly, more sand per well and more wells over time means you need a lot more sand in total. Can you just talk about kind of where the sand is coming from these days? Are we seeing more local sand versus imported sand? I know there was a trial on damp sand in a little while ago with one of your competitors. Can you just talk about some of these trends and where you think the market ultimately goes and where the opportunity is for Trican?
Bradley P. Fedora: Yes. Those are all good questions. So out of the 8.5 million -- about 8.5 million tons of sand that gets pumped in Canada, about 5 million of it comes from the U.S., so Northern White Tier 1 sand. The other 3 million, say, comes from the Canadian mines. It's hard to predict how this works out because, I mean, the issue with sand is everybody wants to pump more of it. But of course, it's expensive. So everybody is always looking for the lowest price alternative from a sand perspective, and then you have to measure that against the crush strength of the sand that you're putting into your wells. And so that has brought up this wet sand issue. The idea behind wet sand is you have lower quality, less sorted, less clean sand. And as a result, it hasn't been sorted, hasn't been washed, it hasn't been dried. And so you can have it for less money, you can truck less of it due to the water content, of course. But the idea is that hopefully, the reduction in sand quality is made up for in the reduction of price. And from what we understand, and we are not experts in what happened at either one of these 2 trials. But we -- as what we understand, they didn't go that well. But I think people will continue to experiment with it. It's obviously a lot harder to deploy wet sand in Canada versus Texas when we have 6 months of winter. So you can't move wet sand around if it's frozen. And there's sort of operational issues on location as well with wet sand in the winter. So it's probably not ever going to be a massive substitute for what's happening today. But I think people are going to continue to experiment with lower cost alternatives and we hope to be there with our customers as they do that. But one thing that is certain is sand has to get moved from A to B, and we're really good at moving sand from A to B. And we have the largest trucking fleet. We will continue to grow that. We'll continue to make investments in storage and transloads if we think they're strategic. But at the end of the day, moving sand from A to B can be a good business if you do it well, and we think we do it well. So that's something that we're going to continue to focus on.
Operator: And your next question today will come from Joseph Schachter with SER.
Josef Schachter: Two questions for me. The first on the ERP platform and using AI, how do you see that integrating? Is it a multiyear thing? You're talking about spending $10 million this year, putting it through under the G&A. Is it going to affect manpower? Is it going to affect the software side that upgrades? How does this affect and benefit you? And how does it affect and benefit the customers?
Scott Matson: Yes. Interesting question, Joseph. So I mean, fundamentally, we need to modernize all of our systems and get ourselves into the next level. That will then help us facilitate more aggressively moving into things like AI and machine learning, analyzing pump data, preventative maintenance schemes, all those kind of things, which is a great benefit to us as we move forward. But you're correct that, that should translate into efficiencies from an operations perspective, potentially cost side as well. So it's a long-term process, as you would know. There's lots of conversations about utilizing AI and use cases, but you've got to first have good solid quality, clean data for a period of time to be able to run any of those use cases. So before we start talking about AI efficiencies and improvements going forward, we've got to get the base level data clean, scrubbed and into a reliable form. And that's really what our platform is driving us towards. So yes, this is a bit of a multiyear exercise. As we move forward, there'll be internal efficiencies that we would hope to gain and that insure -- in turn should benefit our customers as well.
Josef Schachter: So this will be an ongoing conversation issue?
Scott Matson: Sorry, I missed that.
Josef Schachter: This will probably be an ongoing conversation issue as you make headway there?
Scott Matson: Yes. It will be something that we'll continue to talk about and keep forward in our discussion so that you get a clear picture of where we're going.
Bradley P. Fedora: And Josh, it's Brad. Like the AI, the potential of AI is limitless, right? And it's -- even in a business like ours, who knows what this could do for us from a -- we collect millions and millions of data points on the pumps and the engines every day. And so what do you -- what can AI do with that data? And we certainly hope it will help reduce our R&M costs. Is AI one day, do we have better programming to help our sand logistics get more efficient? Does that help us run the frac? And so we're currently not running it manually, but we have people controlling the computer systems that run the frac. And so maybe AI or the software will run it a little bit more efficiently than we're running it. And so we're always looking for opportunities to get better with technology. We just got to pick our spots and be aware of the fact that we're not that big of a company, right? We're big enough that we need to invest in this. But at the same time, we got to be careful that we don't waste money on it as well. And I can assure you we will be very thoughtful if we -- when we deploy capital on technology. We'll be looking to get an immediate return for the investment.
Josef Schachter: Super. Another area to pursue, you mentioned on the last call that when you bought into Iron Horse that you had equipment in the legacy business that might fit because of it's not up to the current standards needed for the big jobs. Are you moving equipment there? Are they using it or upgrading it so that they'll be busy with it in Q1, as you mentioned, that you expect them to have a very busy quarter in Q1?
Bradley P. Fedora: Yes, exactly. We've got equipment going back and forth from them to us and us to them as we speak. So one of the big advantages of a transaction like this is you get to spread the equipment around to where it's going to be most impactful and most efficient.
Josef Schachter: Okay. And do you have much in the yard still from the legacy equipment? Or is more of it going to Iron Horse?
Bradley P. Fedora: Well, there's always stuff kicking around the yard, Joseph, don't get me started here. Yes, there's still stuff there. But that's fine. That's -- we have actually done -- and prior to COVID, the prior team had also done a really good job of cleaning up really old equipment, and we've continued on with that. And so I think we're -- we've done a really good job of making sure we don't turn our operating bases into these old boneyards of equipment that will never see the light of day. We've -- I think we've done a pretty good job of getting rid of a lot of the stuff that will never go back to work. And so anything that we have parked on fences today is something that we think could go to work at any time. And we work very hard. If we don't believe that the equipment can't go to work, we work very hard to get it sold.
Operator: And your next question today will come from Tim Monachello with ATB Capital Markets.
Tim Monachello: Most of my questions have been answered, but I have a few follow-ups. Just around the nat gas fleet that you're contemplating for 2026. What's the lead time on that? And when do you think that might be entering the fleet?
Bradley P. Fedora: I didn't quite catch all that, Tim. What is the...
Tim Monachello: Sorry, the lead time -- lead time...
Bradley P. Fedora: All of this equipment has a 6- to 12-month lead time on it. It doesn't matter what you order these days. Companies like whether it's Cat, Cummins, NOB, et cetera, they -- it's all a long lead time. So we don't expect this fleet would hit the field until next summer, probably at the earliest.
Tim Monachello: Okay. So that capital investment decisions already made like you're going forward with it?
Bradley P. Fedora: Not necessarily, no.
Tim Monachello: Okay. That's helpful. And I assume that, that would have to come with some customer commitment behind it? Or would you do that on spec?
Bradley P. Fedora: It will likely come with a customer commitment, but we typically test our investment thesis on if the customer commitment went away, would you still want to own it. And so the answer to that is sort of yes to both. But yes, it will likely have a customer commitment, but we wouldn't bring it on if we didn't think we could sell it if the customers get sold or change their mind or whatever.
Tim Monachello: Okay. That's helpful. Then a follow-up on Keith's question around profit. Any market dynamics, have you seen any changes in terms of customer in-sourcing behavior or willingness or desire to in-source the logistics side of sand in Canada? And if so, how do you move around that? And what does it mean for margins and stuff?
Bradley P. Fedora: Yes. Definitely, we've seen the trend to more self-sourced sand from our customer base. And that's why we're focusing on making sure that we can make some of that back on the logistics side. So it's one of the reasons I'm saying it's going to be a focal point for the business. There's nothing we can do about the trend other than try to make sure that we're included along the value chain somewhere. And there's corkage fees and things like that. But...
Scott Matson: But as we mentioned earlier, I mean, that logistical piece of moving x number of tons from A to B is no small task, right? And so that's something that Trican has got expertise in and has developed over time, and we continue to push forward on. So keeping engaged on the transportation side of things is a bit of a hedge against that motion.
Bradley P. Fedora: Yes.
Tim Monachello: Does that come to pass in any of your customers' programs currently? Or is that something that's more contemplated for in the coming quarters?
Scott Matson: It's going to continually happening as we move forward. So there's a mixture today of customers that self-source various items, including whether it's sand or chemical or others. So it's just a continued trend as we move forward.
Tim Monachello: And have you had any pushback on corkage fees or trying to capture margin in logistics rather than...
Bradley P. Fedora: We get pushed back on everything.
Tim Monachello: Makes sense. But are you able to push it through ultimately?
Bradley P. Fedora: Sometimes. I mean most of our customers, like it's -- everyone is different. We're very fortunate that our customer base wants us to be sustainable. And they -- I would say they have a very good understanding of our company economics and what is required to make sure that we're going to be able to provide new technologies and top-tier service. And so we're very fortunate to have the customer and we've had them for 10, 20 years in some cases. So the relationship is very good and lots of the elements of the business are well understood by them. So we'll get through this, and we'll continue to make money.
Tim Monachello: Okay. That's helpful. Just looking at the acquisition allocations, it looked like Iron Horse didn't come over with much working capital. But the working capital investment in the quarter, I assume, being fairly elevated included funding working capital for Iron Horse. So I'm just curious like with that onetime impact, if you could help quantify what the working capital investment related to Iron Horse was in the quarter?
Scott Matson: Yes. I probably won't get into that much detail, to be honest, Tim. Iron Horse did come with a chunk of working capital in it. I would say that funding requirement was not massive. And so most of the working capital build was really a result of a strong July and August, right, that then translates into an elevated balance as you come through September. So I'm not giving you as much detail as you'd like, but a portion of it, sure, but the majority of it would be activity based.
Tim Monachello: And maybe I missed this in Joseph's question, but how long do you expect this ERP integration to last? And what do you think the 2026 investment in that is going to be?
Scott Matson: Yes. We don't -- we would have an ongoing spend as we move through 2026, and we'll be able to give you a bit more guidance on cadence as we get into the year. But we're scheduled to flip the switch midway through the year and then get to sustainable factors at the end of that year, and then we've got to make another decision as to whether we continue forward on different parts of it. So there'll be a chunk of spend in '26 as well.
Operator: This concludes the question-and-answer session. I would like to turn the conference back over to Mr. Fedora for any closing remarks.
Bradley P. Fedora: Thanks, everyone. Thanks for your interest and joining -- taking time to join the call. The management team at Trican will be around for the rest of the day. So if there's any follow-up questions, don't hesitate to reach out, and we should be able to take your call very quickly. Thanks.
Operator: This brings to a close today's conference call. You may now disconnect your lines. Thank you for participating, and have a pleasant day.